Operator: Good day, ladies and gentlemen. And welcome to the Synalloy First Quarter Earnings Conference Call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] I would now like to introduce your host for today’s conference, Craig Bram, President and CEO. Sir, you may begin.
Craig Bram: Good morning, everyone. Welcome to Synalloy Corporation’s first quarter 2015 conference call. With me today is Rick Sieradzki, our CFO. We are off to a reasonably good start to 2015 and are cautiously optimistic as we look out to the second quarter and beyond. Nickel and oil prices while under considerable pressure for most of the first quarter appear to be finding a bottom. Consensus opinion suggests that we should see some improvement in commodity prices from here. While our revenue targets were not achieved during the first quarter, we did managed to improve our gross margins and EBITDA margins over the prior year. Favorable product mix and tight control over costs made this possible. In comparing this year’s financial performance to last year, last year’s results will be for continuing operations only. As usual, the financial results will be presented using three different methods. Number one, GAAP based EPS, number two, adjusted net income, our non-GAAP measure is defined in the earnings release, and number three, adjusted EBITDA, our non-GAAP measure also defined in the earnings release. We believe the two non-GAAP measures will provide additional clarity on the performance of our respective businesses. First quarter GAAP based earnings were $3.64 million or $0.42 per share, as compared with earnings of $2.25 million or $0.26 per share in the first quarter of 2014. First quarter non-GAAP adjusted net income was $2.93 million or $0.34 per share, up 8% as compared with the adjusted net income of $2.72 million or $0.31 per share in the first quarter of last year. With nickel prices falling by over 13% in Q1, inventory losses at BRISMET totaled $1.03 million in the quarter. Specialty inventory was adjusted downward by a total of $109,000. While inventory of Specialty that is over three years old is regularly sold during the course of business, for accounting purposes we accrue for obviously inventory once the aging exceed three years. First quarter non-GAAP adjusted EBITDA totaled $6.75 million, or $0.77 per share, an increase of 16% over the prior year’s total of $5.81 million, or $0.67 per share. Gross margin in Q1 was $8.95 million, or 17.3% of revenue, up from $7.74 million, or 15.5% of revenue, in the first quarter of last year. The combined adjusted EBITDA margin for the operating businesses in the first quarter was 14.8%, up from 13.4% for all of 2014. This excludes the parent company cost. Term debt at the end of the first quarter totaled $29.6 million, while the line of credit was $15.27 million. Borrowings against the line of credit in Q1 reflect the raw material purchases to support the BRISMET order book and the delivery of pipe products to specialty following the acquisition late last year. These borrowing will decline as the finished pipe is delivered and paid for by the metals customers. Moving on to the business unit summary. Manufacture’s chemical sales in Q1 were up 5% from the prior year, primarily due to the timing of large shipments that occurred last March. Gross margin and EBITDA percentages improved by 20 basis points quarter-over-quarter. New business opportunities in the next three quarters should provide in excess of 7 million pounds of finished products, allowing MC to achieve its targeted results for the remainder of 2015. Moving over to CRI tolling. Sales in Q1 were up 33% over the prior year. In January and February, our expenses ramped up very quickly as we added production staff to support our increased business activity. Productivity in the first two months of the quarter was below target, but we settled into a sweet spot in March. March shipments exceeded 4 million pounds and operating profits and EBITDA exceeded our goals by healthy margin. EBITDA at CRI in March alone was 42% of total EBITDA achieved for all of 2014. We anticipate strong performance from CRI through the remainder of 2015. Looking at BRISMET. Sales in the first quarter were down 10% over the prior year due almost entirely to lower prices, but product mix was excellent as we shipped a greater percentage of large OD project pipe. Adjusted EBITDA nearly matched last year’s strong first quarter and EBITDA margins this year actually improved 120 basis points over last quarter. Orders for commodity pipe in Q1 were soft due to following nickel prices and increased import activity primarily from India. We need to see a rebound in nickel prices to encourage more stock buys of commodity pipe from our distributed customers. We had seen some inquiries in recent weeks for stock buys and have also including add-on in inquiries for the larger OD projects that were booked at latter part of last year. Special alloy bookings have also picked up in April. At this point, BRISMET’s mix in Q2 should be as favorable as their shipments in Q1. Moving over to Palmer, revenue in Q1 was down about 20% from the same quarter last year while the backlog declined by 10% year-over-year. EBITDA was down 50 plus percent over the first quarter of last year with EBITDA margins falling to approximately 8% of revenue. January and February had lost shipping days due to weather. We finally had a full month of shipping days in March and produced excellent results. We anticipate bookings and revenue in Q2 to be similar to Q1. It is estimated that there are upwards of 3000 uncompleted wells in Palmer’s general service area. As WTI prices approached $55 to $60 per barrel where they happen to be this morning, we expect these wells to be targeted for completion. Completion of these wells will result in additional tank and vessel orders in the future. Palmer has had some recent success in landing new customers, both inside and outside the oil and gas sector. As mentioned in the earnings release, we did eliminate the contingent earn-out liability for Palmer as we no longer expect the business to earn the targeted EBITDA required to achieve a final earn-out payment to the former owners. Finally Specialty Pipe & Tube, Specialty Ohio, which caters to the industrial markets had an excellent first quarter and continues to see strong order activity in April. Specialty Houston, which supplies primarily upstream oil and gas markets, saw order activity decline as the first quarter progressed and order activity has been particularly weak in April. Distributor customers catering to the oil and gas market are keeping inventory levels extremely low at this point. That being said, margins held up nicely in the first quarter with EBITDA in line with targets and easily the best in the company. Before getting into questions, I remind you that this year’s Annual Meeting will be held on May 13 in Richmond, Virginia. We look forward to seeing all of you. Let’s go ahead and open up the floor to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Todd Vencil with Sterne, Agee. Your line is now open.
Todd Vencil: Thanks. Good morning, Craig.
Craig Bram: Hey Todd.
Todd Vencil: Couple of things. First of all, you mentioned imports from India that’s a new one. Can you talk a little bit about what the trend line looks like there?
Craig Bram: Yes. Todd, India -- the imports from India started picking up about the latter part of last year. They continue to grow. We are assessing along with the outside counsel we used to look at the timing of dumping charges. We are assessing that now. We've not made the decision at this point to move forward and when I say we, I’m talking about all of the domestic manufacturers, the other three parties. But we will continue to keep an eye on that and if it continues to pickup in activity, it's likely that the second half of this year, we would pursue a dumping charge against, certainly India and possibly South Korea.
Todd Vencil: Got it. What’s the magnitude of the dumping that's going on from India and South Korea relative to what was going on in, from Southeast Asia a couple years ago?
Craig Bram: It has not reached that level yet, but we are continuing to keep an eye on it. And yes, there is a lot of factors that go into, whether or not it makes sense to pursue charges and certainly the primary consideration is whether or not they're selling metal over here below our raw material cost. So, we are keeping a very close eye on that right now.
Todd Vencil: Got it. You mentioned in the release, they have got a lot of large-diameter, especially alloy projects in the pipeline at BRISMET. Can you talk about -- I'm guessing that energy specific projects aren’t particularly strong, but can you talk about like various in markets and where the strength and the weaknesses are?
Craig Bram: As far as the large project, the OD projects go right now it's coming from multiple industries. We’ve got several projects and involved breweries. We’ve got a couple of projects and involved mining. We’ve got some petrochemical projects and we’ve got an ammonia project. So it really is -- it's touching multiple industries. And as I said in the earlier comments, we’re starting to see add-on increase to those projects that we’ve booked in November and December of last year. You may recall that the bookings for BRISMET in that time period were over $30 million. So that’s kind of feeding the product mix for us right now and it’s good to see those add-on increase coming in as well.
Todd Vencil: Good. That’s excellent. Kind of pulling out the telescope a little bit you had some comments on last call with regard to what you thought the impact on your prior guidance could be from lower oil prices. How are we shaping up relative to what you originally thought? How bad you thought it could get, kind of help us figure out where we are in the spectrum and if you want to go ahead and update your outlook for the year that wouldn’t hurt my feelings?
Craig Bram: Well, let me say this. I think we have very good visibility through Q2 and we like what we see there. The project work is robust and the margins on that are very solid. If we can get some pickup on the nickel price front, I’d say it’s back over six hours of pound this morning. If we can see some pickup there then I think we’ll see some stock buying going on from our BRISMET customers. The Palmer and the SPT Houston activity is about in the range we expected it to be at this point. If I were betting on the forecast for this year, I’m still looking at something in the neighborhood of $27 million to $28 million in adjusted EBITDA for the year. And depending on the impact of some of those non-cash items, you’re still probably in the neighborhood of above $0.40 to above $0.45 a share would be my best estimate right now based on what we know, based on what we’re seeing in the order book.
Todd Vencil: That’s perfect. Thanks so much.
Craig Bram: Sure. Thanks.
Operator: [Operator Instructions] Our next question comes from Nick Prendergast with BB&T. Your line is now open.
Nick Prendergast: Hi. Good morning.
Craig Bram: Hey, Nick. How are you?
Nick Prendergast: Maybe to piggy back a little bit on, Todd’s question here just about the guidance, you gave -- way you gave is great? Just wondering are you still booking in around 232 on the topline?
Craig Bram: No. I mean, we -- if think -- if the current order book, the activity we’ve seen in Q1 were to play after the rest of the year, we are certainly not going to hit that 230 number. But our margins as we demonstrated in Q1 I think will be stronger than what we projected just because of the product mix, but…
Nick Prendergast: Got it.
Craig Bram: … I would suspect at this point that the topline, absent any acquisitions is going to be closer to the 210, 215 level.
Nick Prendergast: Got it.
Craig Bram: Much of that will depend on how quick -- how quickly we can continue to ramp CRI. CRI, we were scrambling in January and February to add production staff. We had about the right size production group right now and in March, frankly, we killed it, we really put balance through the facility and did extremely well. We’ve got a good forecasted pounds load for CRI certainly into the fall. And we are hopeful that the bio based project is going to expand again. You may recall we put in two reactors for that project and two mix tanks, as well as a tank farm. We are looking at adding some additional tank storage to the tank farm And when we build that space out, we made it possible for those mix tanks to be converted to reactors. And we’re hopeful that by the end of the year, we are going to need to do that. So a lot will depend on the ramp from a revenue standpoint at CRI. And really what happens with commodity pipe at BRISMET, if nickel prices start moving up and the stock buys pick then we could pick up some revenue out of that business unit as well.
Nick Prendergast: Got it. And just briefly, I think, you had said that we are talking about the large diameter projects. I think you had said you saw some strength in mining. Did I hear that correctly?
Craig Bram: Yes. We’ve got two projects on the mining front right now that we’re doing. One is a Freeport-McMoRan project. The brewery projects involve Corona and again some ammonia and petrochemical plants that are really being driven by low net gas prices.
Nick Prendergast: Got it. Okay. So that’s it for me. Thanks.
Craig Bram: Thanks.
Operator: Thank you. I’m showing no further question, I would like to turn the call back to Craig Bram for closing remarks.
Craig Bram: Thanks Amanda. I appreciate everybody’s time today. We continue to be excited about the direction of the company and wish everybody the best. Thank you.